Operator: Good day, ladies and gentlemen, and welcome to the Quarter One 2013 EPR Properties Shareholder Conference Call. My name is Patrick and I will be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Mr. David Brain, President and CEO. Please proceed sir.
David Brain: Thank you, Patrick and good afternoon to all. Thank you for joining us. I’ll start with our usual preface as we begin this afternoon let me inform you this conference call may include forward-looking statements defined in the Private Securities Litigation Reform Act of ‘95, identified by such words as will be, intend, continue, believe, may, expect, hope, anticipate or other comparable terms. Company’s actual financial conditions, results of operations may vary materially from those contemplated by such forward-looking statements and discussion of the factors that could cause actual results to differ materially from those forward-looking statements is contained in the company’s SEC filings, including the company’s report on Form 10-K for the year ending December 31, 2012. Again, I'll say good afternoon to you all and thank you for joining us on the earnings call for the first quarter of 2013. This is David Brain, the company’s CEO. With me to go through the news of the quarter as usual is Greg Silvers, the company’s Chief Operating Officer.
Greg Silvers: Good afternoon.
David Brain: And Mark Peterson, our Chief Financial Officer.
Mark Peterson: Good afternoon.
David Brain: I’ll remind all the slides are available via our website at eprkc.com. It might be illustrative for you to go there now if at all possible to follow along with our commentary. I’ll start with as I usually do with the headlines for EPR Properties for the first quarter of 2013. Number one, solid quarter completed with transactions and earnings tracking with our expectations and guidance. Two, wine portfolio liquidation completed down to an immaterial level. Third, first monthly dividend declared at increased 2013 level. And that's it for headlines. It’s good to join you this afternoon at the completion of our first quarter, a bit of a quieter quarter with fewer headlines than normal, but solid progress nonetheless in terms of portfolio performance and progress. Going back to our first headlines, solid quarter completed with transactions and earnings inline with guidance. While new investments were not on a mathematical pro-rata pace what is expected for the entire year. Importantly, we made progress on portfolio development that is right inline with our guidance. Greg has a lot of details for you, but it’s significant that we feel we have about $290 million or 90% of our portfolio expansion guidance underway or in hand at this time. This in turn of course is a major element supporting our current earnings guidance of FFO as adjusted per share of $3.79 to $3.94. The progress we’ve made during the quarter was balanced between three of our major investment categories, entertainment, recreation and education. Notably in education, we expanded the scope of our investments to include an exciting new concept and operator in the private pay early education category. We feel this transaction is illustrative of a significant opportunity for the company to invest in alignment with our five-star investment criteria of specialty real estate category with a new emerging generation of property; a long live durable category of use, a best-in-class operator, accretive economics with a growing yield and the opportunity to use our developed expertise in single tenant long-term net leased assets as well as in this case, our experience in the education category to develop a sustainable competitive advantage. Greg has more information on this transaction in the new client which we're very excited about. Our second headline this afternoon is wine portfolio liquidation completed down to an immaterial level, which is consistent with news we've been reporting to you for several quarters now. With some minor gains and losses relative to our carrying values, we've been consistently selling our portfolio investments in vineyards and wineries. Transactions completed during are expected just subsequent to the quarter end bring us to the point, we have very little residual investment of this type, essentially completing our exit from this category. This I believe is another case of delivering on our guidance; in this case, as to the composition of our portfolio. Our third and final headline this afternoon, first monthly dividend declared an increased 2013 level is just to remind all we began our conversion to a monthly dividend payment beginning in April this year. Our annual dividend level of $3.16, which is an increase of 5.3% over the prior year announced on our last shareholder conference call was declared to be paid monthly as of April at a rate of [26 and a third cents] per month. We are pleased that this appears to have been met with a positive reception. I will turn the call over to Greg and then you’ll hear from Mark and I’ll be back to you as we go to questions.
Greg Silvers: Thank you, David. In the first quarter of 2013, we have made substantial progress towards meeting our full year capital spending guidance with $38.7 million spend in the first quarter and a total of approximately $250 million of additional spending expected over the remainder of the year of 2013 related to either committed or approved deals. The capital is targeted towards existing segments as we continue to grow both the depth and breadth of our portfolio. On today’s call I would like to spend a few minutes detailing our first quarter investments along with highlighting the continued development of our plan for 2013. In the entertainment vertical, our primary asset group theater exhibition faced a difficult comparable as 2012’s first quarter slight included one of the biggest grossing films for the year in The Hunger Games. However, this year’s slide is geared more to summer and fall with the second instalment of The Hunger Games trilogy slated for Thanksgiving release and industry experts still remain confident in the overall year’s potential. For the quarter, investment spending in our entertainment segment was $14.7 million related to six build-to-suit theaters and one latitudes family entertainment center. As we have discussed previously given the timing that when our exhibition partners want to open theaters the first quarter is generally somewhat slower than the balance of the year. However, we still expect theater transactions either build-to-suit or standing inventory involving 10 to 15 theaters for the year. We continue to see a growing demand for the new enhanced [community] theaters whether this involves luxury CD, enhanced food and beverage including alcohol or both, the consumer is responding favorably to this next-generation experience and our exhibition partners are moving forward with new projects to capture this demand. In our recreation segment with our Ski Season mostly complete, we are pleased to report that our overall coverage is approximately 1.6 reflecting a return to normalcy in the performance of our daily ski portfolio. During the quarter, our investment spending in the recreation asset class was $7.4 million related to spinning our improvements at our existing daily ski properties, our water park investments and three build-to-suit TopGolf facilities. Our TopGolf investments continue to exceed our expectations with the investment contributing percentage rent in the first full year of the portfolio. We anticipate continuing to grow this relationship with three to four additional projects commencing during the 2013 year. With regard to our education portfolio, given the record breaking growth statistics that we discussed in our last call, we continue to see a increasing opportunities in the education sector. For the quarter, we deployed $15.1 million related to the build-to-suit construction of five public charter schools and the acquisition of one early childhood education center. As we indicated in our last call, given our current deal pipeline, we continue to expect to deploy in excess of a $125 million during 2013 in our educational platform. The introduction of an early childhood education center is a logical extension of our educational platform, one that takes advantage of our experienced and underwriting demographically driven education real estate. Our first investment in this category was with the children’s learning adventure. The principals involved with these opportunities have developed over 40 early childhood centers and after selling their interest to a larger entity have gotten back into the market with a product that combines a first class real estate solution and superior educational offerings. Given our commitment to educational real estate several groups of this space have approached us and we believe that it represented a strong opportunity to expand our educational platform with assets that increase our diversity and are also highly priced by many triple net investors. With regard to our Imagine assets that lost their charter we continue to make significant progress toward finalizing solutions either through sub-leases or asset swaps on the affected assets. We anticipate that approximately $60 million of the $72 million in asset value or 83% will be completed shortly and we remain confident that we can solve the remaining vacancies as well. As we previously stated Imagine has remained current on all of their rent obligations and we do not anticipate any disruption of these payments. With regard to our Sullivan County New York investment, we have successfully negotiated certain development agreements with the township and other development authorities and the only significant contingency that remains is Empire raising the necessary capital to fund the construction of the casino complex. Additionally the company continues to execute on its strategy of exiting the vineyard and winery business. During the quarter we completed the disposition of the Geyser Peak winery and a portion of related vineyards for total proceeds of approximately $24.1 million. Subsequent to the end of the quarter we've entered into an agreement to sell another winery asset and an additional vineyard property. While there could be no assurance that the above transactions will close, we do believe that we will and subsequently we will only have approximately $13 million of remaining investments in the vineyard and winery space. As we discussed several quarters ago, we put forth a plan to exit the vineyard and winery space within 19 to 24 month window and with the impending transaction we will substantially accomplish this goal. Subsequent to reporting the completion of the pending transaction, we will no longer separately report on the wine sector as we have effectively sold our entire position. Our overall occupancy rate remained strong at 98% and we remain confident about our 2013 spending guidance and the continued growth of our pipeline beyond our committed or approved transactions. We continue to see opportunities in each of our business verticals and are excited about the opportunity to execute quality transactions that will drive FFO growth for this year and beyond. With that I will turn it over to Mark.
Mark Peterson: Thank you, Greg. I would like to remind everyone on the call that our quarterly investor supplemental can be downloaded from our website. Now turning to the first slide, FFO for the quarter increased to $48.3 million or $1.03 per share from $40.3 million or $0.86 per share in the prior year. FFO as adjusted per share was $0.94 versus $0.86 in the prior year, an increase of approximately 9%. Before I walk through the key variances, I want to discuss two gains that are included in net income for the quarter, but are excluded from FFO as adjusted. First as Greg mentioned, we completed the sale of winery property and a portion of the related vineyards during the quarter for total proceeds of approximately $24 million and recognized a gain of $565,000. This sale represents continued progress in our strategy of selling the remaining vineyard winery assets and redeploying the capital to more productive investments. Second I'm pleased to report that we were able to work out an agreement for a discounted pay off prior to maturity of the secured loan we had on our theater in Omaha, Nebraska. In conjunction with this agreement we paid $9.7 million in full satisfaction of the loan and recorded a gain on early extinguishment of debt of $4.5 million. Now let me walk through the rest of the quarter’s results and explain the key variances from the prior year. Our total revenue increased about 9% compared to the prior year to $83.4 million. Within the revenue category rental revenue increased by $3.5 million versus the prior year to $60.8 million and resulted primarily from new investments as well as base rent increases on existing properties. Percentage rents for the quarter included in rental revenue were $0.4 million versus $0.5 million in the prior year. Mortgage and other financing income was 17.8 million for the quarter up approximately 3.1 million from last year. This increase is primarily due to additional real estate lending activities. On the expense side, our property operating expense increased by 630,000 versus the prior year due to higher property operating and bad debt expenses at our multi-tenant properties. G&A expense increased by 185,000 versus last year to 6.7 million for the quarter due primarily to higher payroll related expenses that continue to support our growth. Note also that as expected, G&A in the quarter included additional employee benefit related expenses or approximately 500,000 that does not repeat itself over the balance of the year. Our net interest expense for the quarter increased by 1.8 million to 20 million. This increase resulted primarily from an increase in our outstanding borrowings during the quarter partially offset by the impact of a lower weighted average interest rate on our outstanding debt. Equity and income from joint ventures increased by approximately 300,000 to 351,000 for the quarter. This increase was primarily due to an increase in income from our joint venture projects located in China as well as lower property operating expenses incurred at the property owned by Atlantic EPR 1. Turning to the next slide, I would like to review some of the company’s key credit ratios. As you can see our coverage ratios remain strong with interest covered to 3.5 times, fixed charge covered at 2.7 times and debt service coverage at 2.9 times. We increased our common dividend by 5.3% in the first quarter to an annualize dividend of 316, and our FFO’s adjusted payout ratio for the quarter was 84%. Additionally, as previously announced, we will begin paying a monthly common share cash dividend on May 15, 2013 to shareholder record as of April 30, 2013. Our debt-to-adjusted EBITDA ratio was five times for the first quarter annualized and our debt-to-gross asset ratio was 41% at March 31. As you can tell by these metrics are balance sheet continues to be in great shape, let’s see in the next slide I provided a capital markets and liquidity update. In addition to the discounted loan payout by discussed earlier during the quarter we increased precise of our unsecured term loan facility that matures in January 2017 from 240 million to 255 million. The additional 15 million bears interest of LIBOR plus 175 basis points. At quarter-end we have total offsetting debt of 1.4 billion; all but about 84.6 million of this debt is either fixed rate debt or debt that has been fixed through interest rate swaps, with a blended coupon of approximately 5.7% with 59 million offsetting at quarter end under our $400 million line of credit and we had 11.8 million of cash on hand. We are in excellent shape with respect to debt maturities. As of March 31st, we have no schedule [balloon] maturities in 2013 in what should be a very manageable amount of such maturities in each year thereafter. Turning to the next slide, we are confirming our guidance for FFOs adjusted per share of 379 to 394, and as Greg mentioned previously we are maintaining our 2013 investment spending guidance of 300 million to 350 million. One final item that I wanted to comment on relates to the timing of our earnings for 2013. First note that the second quarter percentage rents are typically nominal given the lease years of most of our tenants that pay percentage rents. Second in our fastest growing education note that newly build public charter schools are generally planned for opening in August and September for the coming school year and thus capital spending is generally accelerated in the summer and early fall. However because the company does not begin recognizing revenue on these projects until certificates of occupancy are issued, most of the earnings from this new investments do not begin until late in third quarter. Both of these items are expected to result lower per share earnings growth in Q2 and Q3 versus our full year expectation of just over 5% at the midpoint. Now I will turn it back over to David for his closing remarks.
David Brain: Thank you Mark, and thank you Greg. As we go to questions after all the news of the current quarter, I just like to offer a thought from a longer term perspective and I direct your attention to our recently released 2012 annual report and its accompanying presence letter. In this most recent letter which coincides with our 15th anniversary, I describe our approach and ambitions with regard to our portfolio expansion and the rational that goes with our new name and identity. Lastly I review the returns we delivered over the last decade and a half. Although 12% total shareholder return in 2012 line summary market averages it is represented at a very steady and I believe desirable rate of return, we have been able to achieve and importantly sustain. In addition to 12% in return in 2012 we delivered a compound annual return in excess of 16% over the last three years, as well as nearly 14% since our found in 15 years ago. Take a moment if you can to look over the letter I believe you will find it interesting. And with that I will ask Patrick to open the line to questions, Patrick are you there?
Operator: (Operator Instructions) Your first question comes from the line of Craig Melman with KeyBanc Capital Markets.
Craig Melman - KeyBanc Capital Markets: Hi guys, [George Sanders] is on the line with me also. Mark, maybe real quick, could you just go into the circumstances behind the discounted payoff, was it CMBS lender, portfolio lender, kind of a little bit detail there?
Mark Peterson: It was a CMBS lender and what we had was, we had a lease maturing with AMC and AMC there was a theater in the area that had come into existence so our theater had been built against and at the termination of the lease they want to reduce rent. Well, this asset was levered. We had like $15 million in book value and like over $14 million in debt balance so effectively a 100% levered and we weren't going to continue in the asset unless we had a return on our investments. So ultimately, we were able to negotiate with the CMBS servicer a reduction of about $4.5 million from $14.2 million, down to a $9.7 million payoff and keep the property. And if you do the math on that rather than giving back the property, we paid $9.7 million and we have retained about $1.1 million in incremental rent, which is about 11 cap in terms of the return. So really a good result for the company I think and we removed some secured debt earlier than we otherwise would have as far as moving to an unsecured model.
Craig Melman - KeyBanc Capital Markets: Okay, but AMC has renewed the lease just at the lower rent.
Mark Peterson: Exactly, and extended the term.
Craig Melman - KeyBanc Capital Markets: Okay. And then just moving to the private pay early education, could you give us a sense of how big that sort of segment of the education side could get and maybe what type of credit you guys have against that property and is it a freestanding school or is it in a retail kind of complex just a little bit details there?
Greg Silvers: Sure. Craig, its Greg. I'll start with your last. What you saw with children learning that venture, these are in retail settings so they are part. So there really like I said what we think is real quality credit. I think as we expand could this become you know 10% to 20% of our educational platform, yes it could because we think there's a lot of demand for it. As we talked about, it’s demographically driven in areas where you have young children. It’s also in -- and this first one is in Arizona where we have a big public church school presence so we think we have a really good handle on kind of the school demographics and what's driving that, but we think we've got an experienced operator. I don't think there's investor grade credit here, but there is experience, there's demonstrated performance and I think we think the drivers that will make this successful.
Craig Melman - KeyBanc Capital Markets: Okay, that’s fair. And then just kind of bigger picture, it sounds like the sourcing investment is going pretty well, I mean given the visibility you guys have here, is there any chance that we can exceed the high end of the 350 or is it just too early in the year?
Greg Silvers: I think we don't want to commit to that, but I will tell you I think the velocity of which we are seeing deals is good or better than we've ever seen. So we are really excited about the potential that we have to actually move that needle up and I just think being in the first quarter what I will get through the second quarter and see if we are substantially through that and we will be taking a look at that and discussing that with you next quarter.
David Brain: Right. And Craig when you look at the end of our first quarter call and where, we got in hand nearly lower end of our guidance range, we were in good shape, and so hopefully we will continue to see more throughput of deals we like and there will be an opportunity to increase that, but we will have to wait and see.
Craig Melman - KeyBanc Capital Markets: And just one last one, given the fact that your cost of capital has come down, how are spreads looking on the kind of pool of opportunities you guys are looking at?
David Brain: Well, we successfully kind of maintained the spreads or maintained not the spreads but maintained the rates that we've previously discussed with you. So I think we're seeing those kind of you know 9% to 10% kind of cap rate range that we're seeing across the board and we haven't seen, remember a lot of what we're doing now was is build to suits. So we think we get a premium on a build to suit. The standing inventory and across all our categories is clearly a much lower cap rate, but our ability to underwrite that deserves a premium and we've been successfully in getting that.
Operator: Your next question comes from the line of Dan Altscher with FBR. Please proceed.
Dan Altscher - FBR: So a question on the investment spend. So you know you've done 38 million, 39 million this quarter. Do you think that was in line with your expectations or is it maybe a little slower than the rest of the year given that there is obviously a lot that has to come through in 2Q and 3Q?
David Brain: I think the appearance that’s why we addressed it in the comments, I think a couple of this, a couple of times, that the appearance is, it is slower but we wanted to make the point that it's really on track with the expectations we have. Greg, do you want to add?
Greg Silvers: Yeah, I think there was a couple of deals timing wise that could have gotten, we could have gotten in or started. There is still all of the deals that we planned on having or still part of our pipeline. So if anything it was some slight timing adjustments that we think will mature and come to fruition in the second quarter.
David Brain: So overall, we wanted to reinforce, it's still very much in line with the guidance we've given. There is not slack to that based on the -- what appears to be a little bit smaller number in Q1.
Dan Altscher - FBR: Great. And so for the megaplex theaters, the ones that are build to suit, about how long do you think timeline is needed to get those up and going before I guess (inaudible) contribute to the earnings?
David Brain: Well, again, like Mark said, generally in those build-to-suits, the build-to-suit cycle is going to be some more around 9 to 11 months and as we have talked about with our investors previously, theater operators generally only want to open theaters during two periods of the year, one is coming into the summer season, the other is coming into the holiday season. So you will see that cycle of when things become productive is generally following those two periods.
Dan Altscher - FBR: Okay, great. And just a quick follow-up. I know sticking to your comment about moderately higher bad debt expense, I mean it looks like it was probably pretty small, but can you just may be make a comment as to why you call that out?
Mark Peterson: Well, we are just explaining the increase in the property operating expense which was about 600,000, about 250 of that are so is bad debt related, so it was a chunk of it but not a big number in the grand scheme of things.
Dan Altscher - FBR: Right, so it's probably one borrower.
Mark Peterson: It's just a few tenants that multi -- it's sort of few tenants at multi-tenants properties that’s what we are seeing it; it's not like a theater tenant property.
David Brain: Right, in that level it can be a not a huge tenant, it can be less than 10,000 square foot tenant.
Dan Altscher - FBR: Okay, that’s perfect. Thanks a lot.
Operator: Your next question comes from the line of Emmanuel Korchman with Citi. Please proceed.
Emmanuel Korchman - Citi: Just looking at the -- I guess out of 250 or the 300 to 350 which I want to kind of break down, what vertical does that following to and may be if you can break it down further as to how much of that would be sort of that build-to-suit activity versus stabilized product?
David Brain: Sure. I would tell you that it’s still going to be that what we talked about earlier was about 40% entertainment, 40% education and 20% recreation. I think of that our target is we probably half to two-thirds of that is still on our build-to-suit across, the build-on-suit we are not doing build-on-suit things and necessarily in those key and that probably but in the theatre and in the school we are doing. So that 40, 40, 20 is still going to hold up.
Emmanuel Korchman - Citi: Great. And then if we turn to the theaters of industry for a second, I think over last few quarters we have seen some M&A activity between AMC and then we saw some stuff with Rave and now Clearview with multi, could you kind of give us an update on what is happening in the industry and whether any of that good about or how might impact your business?
David Brain: I mean what we are seeing, there are several transactions of, I think it’s a reflection of the industry’s better performance and people who that were either private equity held, if you look at what is going on and they have seen the ability to exit through the larger national players. We have seen Regal buy Hollywood, Regal buy portions of other great escapes and then you have Carmike buying a portion of Rave, so there is a lot of activity. It’s generally the national players who have good access to capital who are coming in and buying regional players. What that generally means for us is that where we get to, we are quickly becoming whether it’d be AMC, Regal or Cinemark, their largest landlord because in a lot of situations which generally is a improvement of credit quality and credit visibility. And so from our standpoint, we continue to work with regional operators who know their markets, who are very skilled understanding the dynamics of that local regional market and then this is up story that’s played out many times before, the larger national guys come in and buy these regional players. So we see it as point to the strength in the industry and the ability for these guys to monetize and also we see as an improvement in credit quality and ability to kind of leverage the platform that we already have with those existing operators.
Emmanuel Korchman - Citi: Great. And then my final one, on Empire it sounds like things are moving far quicker than I would have expected. Do they have an approximate timing in place, how long could the project kind of take and sort of where do you stand on timing?
Greg Silvers: I don't think we want to speak for Empire since it’s their deal to raise the money. What we talked about is the fact that we have continued to make progress getting the development agreements and getting you know everything we need to do to get in place. I think they are making progress on what they are doing. They have let us know, they continue to update us and give us updates on the progress they are making with regard to setting a plan in place and we think everyone feels good about that, but I don't really want to comment on their side of the equation. I would leave it to them to comment on that.
Operator: Your next question comes from the line of Anthony Paolone with JPMorgan. Please proceed.
Anthony Paolone - JPMorgan: Do you guys did decide to do what you think some of the other net lease companies are doing which is just trying to go up the credit curve because capital costs have come down so much. If you opted to go that route, what would be sort of the change in the going in yields and what kind of impact would that have on potentially just doing more volume and how do you think about that?
David Brain: Well, you know Tony it’s very hard to say, we've made a conscious dedication to those things. We said we are kind of more knowledgeable about and not trying to expand the portfolio. With some of the speed that you might have seen from other people and going up the credit curve, but I guess in those areas that we are in, Greg, I'll just reference his comments, in some ways we are going up the credit curve with some of the consolidation that's going on in the exhibition space and so forth and we think eventually the same thing might begin to occur downstream even in the school space, as that industry matures a little bit. But we still have quite healthy spreads given as you know pointed out before cost to capital continues to come down and we continue to be able to maintain pretty strong higher single digit gap rates on our deals. So I mean we may, if we decided to come, be a little more aggressive it might come down some, but I think really the spreads we still would enjoy would be very consistent with the long term history of the company. So we wouldn't erode them greatly relative to the type of spreads we traditionally enjoy.
Greg Silvers: Tony, I think to what David said, I don't really know given the spaces that we are in how we would move up the credit curve in a sense that if you think about the theater space there are no investment grade tenants. Some that are rated better credits than others, but you know we've always been about the quality of the property and then the cash flow coverage of the property and the cash flow operations that can generate that property. So I don't really see us doing that and besides I think that space is really crowded with people who are out there who are making that they are kind of stick at what they do you know meaning credit quality. I think as David said, we want to invest in things we know a lot about and then we are willing to go long and deep. We’ve spent a lot of time developing the relationships in these industries. We continue to harvest those relationships and I don't see us turning our ship to just to do something that other people may actually execute better than we do.
Anthony Paolone - JPMorgan: Got it and I mean maybe sort of a different question, if you think about whether its TopGolf or latitude or something like that where you guys have funded these build-to-suit and you've taken the risk; now that some of these are up and running and you know becoming seasoned. Do you think there is an implicit profit if you were to think about the market value not that you necessarily want to sell it, but just in terms of like what the cap rate versus where you are getting as yield might be?
Greg Silvers: Absolutely; I do; but I think they needed to be proven a little more. I mean I think we’ve got, we feel very good about what we've done, but let’s remember that some of these have been in place, you know, a year or two years. As they begin to have more of a track record, I think you will get more cap rate compression on a buy as opposed to just immediately responding to the initial transaction.
David Brain: You know, Tony, to tell you, by embracing the built-to-suit development of our portfolio as opposed to buying all the standing properties because we have this kind of deeper relationship in the categories we invest. We don’t take speculative development risk and we don’t try and get the yields at the very high end, but I think we do probably get a 100 basis points above out of other transactions, some of the categories we're in, because we do fund built-to-suits and we have the, we feel like we have the knowledge to be able to do that successfully. So, those ought to create value for us as those open, mature and prove themselves that premium ought to translate into a higher value than our original investment.
Anthony Paolone - JPMorgan: Okay, got you. And then just a question for Mark; in terms of debt maturities over the next few years, what's pre-payable if anything without kind of [owners] penalties I suppose?
Mark Peterson: Yeah, most of it is CMBS debt that will be taken out. So it does come with the penalties, but we look at that and have done some work on that and in this year for example, we have a couple early 2014 maturities that we may pull forward into 2013, perhaps even mid- year-ish and that will create enough capacity pretty sizable bonding in a favourable refi on that. But most of it is [CMBS] debt at least in next few years that you can't go out too early and take out what (inaudible)
Anthony Paolone - JPMorgan: Okay is that bond deal and savings in your guidance is that incremental?
Mark Peterson: Is the savings on the debt, but debt isn’t our guidance because we do plan on as we think about financing I think I mentioned last quarter, particular advantage of the bond market and what are rates, how much our rates have come down and spreads and doing a favourable sizable bond there was very appealing to us over longer term bond. So yes it is in our guidance and it has a incremental impact of I think it's like 6.4% debt is what that average debt that will be taken out and we can probably do debt today, around 4.5 or so, pretty nice pick up in terms of FFO.
Operator: Your next question comes from the line of Joshua Barber with Stifel. Please proceed.
Joshua Barber - Stifel Nicolaus: Just a couple of quick ones, can you just talk a little bit more about learning center in the background there especially the operating history of the tenant, I guess some of your net lease competitors have had some experiences with tenants there before although it's mostly been from the parent company level, where they were in issues. Could you just talk about the particular niche that they are in and the operating constraints that your particular (inaudible) have had.
David Brain: Sure. The group was the original founders of the tutor time and what they did is subsequently sold up through entities to Morgan Stanley. So their concentration really is coming back and introducing a lot of enhanced communities, if you look at the prop readers, its no longer about simply housing kids, its about offering a lot of things, its targeted at operating and high medium incomes, so you have high amenities but again kind of Josh not only just housing kids but offering them education opportunity set to these young children, so starting to development good quality educational habits and high amenities as opposed to what were submit the traditional models of child care of just housing kids, so we think we got a great experience with people who build improving our model and successfully and now we are going at this current like I said enhance amenities and enhance educational offerings.
Joshua Barber - Stifel Nicolaus: Are they going to be little bit bigger than you average,
David Brain: They are.
Joshua Barber - Stifel Nicolaus: But it would be located in the same place a sort of strip mall area.
David Brain: Yeah, we are high in retail offerings, so not necessarily strip mall, but.
Joshua Barber - Stifel Nicolaus: There was no (inaudible) implied.
David Brain: But yes in the retail settings, and going back I would said in the note that the Tudor Times largest franchisee in the country set one time.
Mark Peterson: So we got experienced guys and these have high cash flow and it’s attractive to us and really nice offering in the market.
Joshua Barber - Stifel Nicolaus: Thanks, and one more of a maintenance question. Can you just remind, I guess under the imagine master lease with some that are being sublets. Can you tell us how much the sublets or is currently paying of the existing (inaudible) that they are taking at over 100 cent to the dollar.
David Brain: We’ve got several of those so the answer is. Let me get back on that George, so that I can get to you accurate because we are more than one.
Operator: Your next question comes from the line of Dan (inaudible).
Unidentified Analyst: Real quick question on the coverage of the ski parks; I think you guys said it was 1.6 and if I look back to last year I think the coverage is around 1.4 maybe. So given how much better the ski season was this year versus last year why does that not improve a little bit more than…
David Brain: Actually Dan, the coverage was really a one-two last year. Two years ago we were 2,2. This last year we went down to 1.2. We are at 1.6 now. Part of that is April is not. We don't have all the numbers for April so we don't know, I'm giving you a current view of that. Also we had a rent increase during that period of time that during this year. So there's some of that's affecting that, but we think as we've said that we think this is a 1.6 to 1.8 type of business on a normal season. So I just want to make sure it wasn’t 1.4, when we finally did everything and it was at 1.2. So we've had the best of years that we had two years ago, or three years ago was 2.2. Last year 1.2. This year kind of 1.6
Unidentified Analyst: And then as far as your China JV is there anymore opportunities there you know to do maybe stuff that's wholly owned or what's the opportunities that they are elsewhere.
David Brain: Well I think we are looking at further investment there. Again kind of not I think part of the issue is we think that the JV is the right approach in China and we think that gives us the access. I think we do, I don't think that that's changing from our perspective. I do think we will make some incremental investments with our JV partner. We have had very good success with our operation that we've had so far. I think we are still incrementally kind of figuring everything out but I think we will make, we will see some additional investment there this year.
Unidentified Analyst: Okay and then lastly there's been a lot of chatter amongst some of the gaming operators about potentially monetizing other assets, the sale lease backs on a one-off basis. Is there something that you guys have looked at or is it something guys were exploring or any thought process there would be helpful?
David Brain: Yeah, Dan it’s certainly something that is we are getting inbound inquiries and we are thinking about ourselves. So it’s a topic that we are focused on because by virtue of what it is, its in that entertainment recreation genre that is very central to us and by virtue of transactions they are substantially sized and take somebody with a larger balance sheet and will potentially equipped to look at those when maybe some other people aren't. So but we just, its active and what (inaudible) announced it’s caused the lot of people to look at it. There's some dialogue going on but we certainly don't have anything announcing at this time and if this comes into greater focus we will be sure to communicate that you to you but it’s just an active topic around the industry that's all I know to tell you right now.
Mark Peterson: But I will tell you Dan the numbers that we talked about capital spending do reflect nothing, only existing.
David Brain: Nothing in the pipeline at this time, it’s nothing to do with that. But for the fact that they are effectively and we don't really have in the pipeline about the Concorde property but we do expect the gaming facility there as we talked about before. So we do already have kind of view into the industry, but nothing more than that is in the - there's nothing in the 290 that we talked about. That's additional gaming spend.
Operator: Your next question comes from the line of Rich Moore with RBC Capital Markets. Please proceed.
Rich Moore - RBC Capital Markets: The reimbursement rate dropped for the second quarter in a row. It was down again for the second quarter. Is that the lost tenants you are talking about at the multi-tenant centers, that’s causing it?
Mark Peterson: A little bit. I also book. Remember when you compare those two property operating expenses, it includes that bad debt experience I referenced. So when you look at tenant reimbursements and property operating expenses, you are looking kind of at the relationships, is that what you are talking about?
Rich Moore - RBC Capital Markets: Yes, exactly. That's part of it. I am with you, okay. And then as you think about spots, I mean can you re-lease those spots that where you’re having trouble or?
Mark Peterson: No, no. I mean part of it, like one of the ones that we're referencing here is a restaurant that went out and so we're actively marketing, but the restaurant that went in to bankruptcy proceeding. So we're working through that and actively marketing and we don’t anticipate that we're going to have difficulty releasing it, Rich. When it happens, you got a loaded in there. We may turn that negative run rate to a more favorable run rate as we get through the year.
Rich Moore - RBC Capital Markets: Right. As you know the small shop space for the community center guys has been tough, but it sounds like your restaurant, that would be pretty, easier perhaps. Okay, good. And then (inaudible), what's the age of the kids there, tell me about these facilities?
Mark Peterson: Generally, these are going to go from inputs up to before, I will call it five or six year old and then they have a extensive after school program where they will have older kids in school that period of time from when school is out and when parents can pick them up. They have a very enrichment, a big enrichment program for after school learning.
Rich Moore - RBC Capital Markets: So this is sort of daycare on steroids. Is that?
Mark Peterson: Yeah, daycare, they would be offended by that, they think it's that they’re very painful to point out the date, they are in the education business, they are not in the daycare business.
David Brain: And this is important to note because it's kind of inherent generational change we see in the industry things that are oriented from daycare to more education and there hasn't, it evidences itself a lot in the physical real estate that you have more of a classroom environment than you do have a kind of just an open play floor environment.
Mark Peterson: And also David the quality enriched, the quality of the staff, that’s people who have educational backgrounds and people who are trained to deal and enrich the educational opportunities for these kids as opposed to people who are just housing them and keeping them occupied and things of traditional take care.
Rich Moore - RBC Capital Markets: Okay, good, I got you. That’s a good improvement I like that. So would you find more with this operator, is there more to do with them?
Mark Peterson: I think definitely, there is more to do with this operator, and much like we see as an everything that we think there are other operators that which we can also expand us, when and so that will have both adversity of geography but adversity of operator.
Rich Moore - RBC Capital Markets: Okay. Speaking of that Greg, I am always struck when I look at page 25 of your supplement and I look at the tenants, there is still only one education tenant on that page on the top 10, do we see more of broadening may be of those tenants, I mean you still AMC portion at the top?
Greg Silvers: Yes. I mean you would see, we now have 60 probably approaching 21 different educational operators by the time we started new school here. I mean part of that is we have been very focused on as we have talked about increasing the operator diversity. So to come up on that chart takes about $8 million of annual type rent.
Rich Moore - RBC Capital Markets: Yeah, fair enough, okay, I got you.
Mark Peterson: They added a lot of new operators in education, no doubt about, which is not a concentration where we head with them.
David Brain: Yeah, that’s by design.
Mark Peterson: Yeah, that's by design.
Rich Moore - RBC Capital Markets: Okay, I got you. Then when you look at the -- you were looking a little bit about when the build-to-suits for the children schools come online and soon we start getting paid when the certificate of occupancy is approved and when do you actually you build the theaters, when do you actually begin getting paid for?
Mark Peterson: Generally, those are similar when the building is put into service, so we are generally capitalizing interest for 9 to 11 months period.
David Brain: But the difference is with schools you have kind of one opening day and theatres are targeting two different openings days, summer and holiday first for theaters and it really kind of a fall for schools. And particularly when you are growing that area, you got a bit delayed earnings impact. We have capitalized interest and then it clicks into not full rents upon certificate of occupancy so it's a little bit back way particularly you are growing the business.
Rich Moore - RBC Capital Markets: Okay, I got you. And then on the dividend now that you guys are monthly dividend, would you raise the dividend more frequently or is that still sort of an annual thing?
David Brain: At this time it's still on annual thing, it’s not been in a change of policy for the board on that. I mean we can always look at it, but the plan at this time to stay with an annual adjustment of the dividend level.
Rich Moore - RBC Capital Markets: Okay, thanks. And then the last thing is Moody’s has a positive outlook on you guys and it’s been there, I didn't go back further, it's been there for at least two or three quarters, how long can they leave a positive outlook on before you begin to think about, the outlook is positive before you think it begin to move up, any thoughts on what they are thinking?
David Brain: All right, I think the performance of the company is very consistent with the things that outlined in the positive performance, so we hope it’s sooner rather than later that they act on that but really that's just hard for us to answer Rich but we thoroughly agree with you.
Operator: At this time there are no additional audio questions in queue. I would like to turn the call back over to Mr. David Brain for any closing remarks.
David Brain: All right, great. Again I'll thank everybody for joining us. We are always pleased to be able to quarterly report to you and have this interaction. We will look forward to, if you’d like to, please call the company. We invite you regular contact and we will see you next quarter. Thank you very much.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a good evening.